Operator: Good day, ladies and gentlemen, and welcome to the Dundee Precious Metals Third Quarter Conference Call. [Operator Instructions]   I would now like to introduce your host for today's conference. Ms. Reid, you may begin. 
Janet Reid: Good morning, everyone. I'm Janet Reid, the Manager of Investor Relations, and welcome to Dundee Precious Metals' Third Quarter Conference Call. With me today are Rick Howes, President and CEO; Hume Kyle, Chief Financial Officer, who will each comment on the quarter; as well as Nikolay Hristov, SVP Sustainable Development; and John Lindsay, SVP of Projects. They're here today to assist with answering questions following our formal remarks.   After close of business yesterday, we released our third quarter results and hope you've had an opportunity to review our material.   All forward-looking information provided during this call is subject to the forward-looking qualification which is detailed in our news release and incorporated in full for purposes of today's call. Certain financial measures referred to during this call are not measures recognized under IFRS and are referred to as non-GAAP measures. These measures have no standardized meanings under IFRS and may not be comparable to similar measures presented by other companies.   The definitions established and calculations performed by DPM are based on management's reasonable judgment and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS.   Please refer to the non-GAAP financial measures section of our most recent MD&A for reconciliations of these non-GAAP measures. Please note that unless otherwise stated, the operational and financial information communicated during this call relates to continuing operations in US dollars, which has generally been rounded. And any references to 2016 or prior period pertain to the comparable periods in 2016.   On this morning's call, Rick will comment on our third quarter operating results as well as the progress being made on our capital projects and exploration programs for the quarter. Hume will then provide an overview of our third quarter financial results and our guidance for 2017.   I'll turn the call over to Rick Howes. 
Rick Howes: Thanks, Janet, and hello, everyone, and thanks, for joining us today for our Third Quarter 2017 Conference Call. I'm pleased to provide you with an update of our third quarter 2017 results and progress on our key projects and initiatives.   We have strong third quarter performance from Chelopech and solid performance from Tsumeb, resulting in adjusted EBITDA for the quarter of $25.6 million and adjusted earnings of $0.04 per share and cash flow per share of $0.15. We raised full-year gold production guidance for the second time and lowered our all-in sustaining cost guidance as a result of our strong gold production performance this year.  Our Krumovgrad open pit gold project, now under construction, is trending below budget and on schedule with first production still expected in Q4 of 2018. We also saw some encouraging exploration results from our Timok Gold Project in Serbia, as well as at our Chelopech Mine in Bulgaria.   The spot gold price ended the quarter up 11% year-to-date, despite continuing strength of the US dollar and monetary tightening by the Fed. Many of the base metals have strengthened in the last few months. Cobalt has seen the strongest move, followed by zinc, nickel, aluminum, and copper. Copper is up 25% year to date on a relatively small deficit and slightly declining inventories, currently sitting at seven weeks of consumption. Most of this is driven by strong Chinese import growth and broad-based increase in global manufacturing activity. Going forward, the price will be sensitive to this Chinese growth rate and the impact of new supply if prices are to remain high.  With chief solid gold production in the quarter of 48,449 ounces, and copper production of 9.5 million pounds, 2017 guidance for gold production has increased for the second time to reflect the strong three quarters performance. The all-in sustaining cost per ounce of gold in the third quarter was $685, causing us to lower our full-year guidance all-in sustaining to $715 to $785. We smelted 57,991 tonnes of copper concentrate in the third quarter, putting us in line to achieve the middle of our full-year guidance.  We exited the quarter with no debt, $22 million in cash, and a $46 million investment portfolio, and a $275 million undrawn credit facility. The smelter continues to demonstrate improved performance and stability, with third quarter concentrate smelted in line with the previous quarter, despite reduced oxygen availability from the high-pressure oxygen plant. With the high-pressure oxygen plant back online in mid-October, the smelter is expected to achieve higher targeted smelting rates in the fourth quarter.  The Ausmelt furnace, converters and matte holding vessel are delivering in line with their design capacity, and annual complex concentrate smelted is expected to achieve the midpoint of our guidance. The focus at the smelter continues to be on improved stability and performance of this new integrated facility following completion of the capital upgrades to the plant. Several operational initiatives are having a positive impact on this, the first being the commissioning of the new matte holding vessel in May, which is helping with [indiscernible] converter relines. The second being improved temperature control in the Ausmelt furnace, which is helping to extend the life of the furnace lining, so we now do not expect an Ausmelt furnace reline until Q1 of 2018, which is a full 50 percent improvement in the lining life.  The third initiative involves improvements in operating practices and controls on the plant, which is helping to improve online time and throughput of the hot metal section. Throughput of the smelter in the quarter was hindered by the unplanned outage of the high-pressure oxygen plant for 21 days in September, which restricted smelting capacity to about 60% of the normal for that period. The issues with the high-pressure oxygen plant were resolved in mid-October, and smelting rates have returned to target rates.   We continued to reduce secondary inventories that accumulated during the construction and commissioning phases of the smelter investment project. We are also continuing to advance the smelter expansion project to increase the throughput of the complex concentrate to as much as 370,000 tonnes per annum. The environmental and social impact assessment is underway for the project. Public access to the draft environmental and social impact assessment documentation was provided during the second quarter of 2017. We are currently working on addressing the comments received. We anticipate moving forward with this project subject to receipt of all permits and adequate commercial arrangements and funding being in place. Commercial discussions are underway to secure sufficient complex concentrate [indiscernible] to fill the expanded capacity.  Chelopech continues to perform well. Gold production through the three quarters is more than 20% higher than in 2016. This is primarily due to 3 factors: higher grades than predicted in the block model for several mining blocks in the mine plan sequence; better recoveries, resulting from the ongoing mill optimization work; and higher pyrite production recoveries. As a result of this, we have raised our gold production guidance for the second time to 185,000 ounces to 195,000 ounces gold.  Copper production was in line with expectations in the third quarter and first 9 months of the year. Cash cost per ounce of gold for the quarter was $541 an ounce. We continue with our improvement and optimization focus on both the mine and the mill to continue to lower cost.   In December of 2016, we announced the discovery of a new mineralized zone called Zone 153. The new zone is located near existing infrastructure in the upper level of the mine's western area, and was discovered as part of the ongoing upper levels resource development drill program. 3,950 meters of drilling was completed in the third quarter, which has extended the silica alteration [indiscernible] and mineralization upwards to the 510-meter elevation. Further drilling is planned for the fourth quarter to determine continuity of this mineralization and generate an indicated resource estimate.  Additional upward level drilling has also discovered a new zone east of Block 18 between the 480 and 510 meters elevation. The new identified zone of mineralization is typical of the high sulfidation stock work assemblages at Chelopech, and is comprised of pyrite, enargite, and tennantite.   2 significant intersections in the first hole are 7 meters of 8.5 gram gold equivalent and 17.5 meters of 6.9 grams gold equivalent. Additional drill hole assays are pending. The boundary of this mineralized zone remains open and requires further drilling, which will continue during the fourth quarter of 2017.  In the regional program, around Chelopech, during the third quarter, exploration focused on the continuation of surface exploration of the surrounding [ Spedepeka ] and Brevene exploration licenses. Exploration activities included magnetotelluric, gravity and soil surveys. Data processing modeling and interpretation of results are underway to identify and prioritize additional gold and copper targets for drill testing in 2018.   Underground drilling of the Southeast Breccia Pipe Zone was not carried out during the third quarter, mainly to allow scheduled mine development to proceed in the underground drill areas. Both the underground exploration, drilling along the Southeast Breccia Pipe Zone, and surface drilling at the Krasta target, a new shallow gold copper target northeast of Sharlo Dere, are planned for the fourth quarter of 2017.  Progress on the Krumovgrad Project is continuing on plan. At the end of the third quarter, construction on the project was approximately 37% complete. Earthworks in the project planned area was completed in the third quarter of 2017, and installation of major foundations commenced. Structural, mechanical and piping work for the process plant will commence in the fourth quarter. Earthworks related to the construction of the integrated mine waste facility and installation of other major equipment foundations will continue through the fourth quarter of 2017.   The total estimated capital cost for construction of the Krumovgrad Gold Project is now expected to be between $162 million and $168 million, down from the initial estimate of $178 million, due primarily to re-forecasting of contingency and locking in a more favorable exchange rate than was budgeted on euro-denominated expenditures. Project remains on track for first concentrate production in the fourth quarter of 2018.   A 13,000-meter RC grade control drilling program was completed in the third quarter on close spacing to determine the optimal grade control drill hole spacing for the entire upper zone and wall zone of the Ada Tepe deposit. We continue with our exploration program around Krumovgrad, looking for satellite deposit, to expand the resource base and extend the life of the Krumovgrad Project.   Permitting for drill sites is ongoing and drilling will commence early in the fourth quarter of 2017, exploration on several recently granted exploration licenses, including geological mapping and stream sediment and soil sampling. At the [ Elovel ] exploration license, a ground [indiscernible] survey was conducted over a gold soil geochemistry anomaly which is approximately 800 meters by 100 meters wide and remains open-ended.  At our Timok Gold Project in Serbia, drilling around the discovery hole at Korkan West extended significant intervals of near-surface oxide mineralization over approximately a 175-meter long strike plank, and also identified a new zone of shallow mineralization about 400 meters to the east. Following this drill program, a technical review of the results was completed during the summer.   Exploration activities in the third quarter included soil sampling, geological mapping, ground magnetic and induced polarization surveys, and 3,600 meters of trenching. The trenching extended the Korkan West zone approximately 40 meters to the southeast, where channel sampling of a 91-meter trench averaged 2.98 grams per tonne gold, including 36 meters averaging 4 grams per tonne gold. Mineralization is open at both ends of the trench. This new trench result provides evidence of the continuity of high-grade oxidized material at very shallow depths at Korkan West. The second phase of drilling at Korkan West commenced in late September. The aim of the phase 2 drilling is to extend the strike length of the northwest-trending Korkan West zone.  On our Malartic joint venture with Khalkos in QuÃ©bec, we completed significant mapping and will begin airborne magnetics, induced polarization and soils geochemistry work in the fourth quarter, with the objective of completing target selection for initial drilling starting in Q1 2018.  On other matters, on October 25, 2017, we completed the MineRP transaction in combination with our Terrative Digital Solutions business, creating a leading technology provider that is well-positioned to further capture the rapidly growing demand in the mining industry for digital innovation, which we ourselves are employing in our own operations.  In summary, with strong Chelopech performance, a stable and improving Tsumeb smelter operation performance, and near-term gold growth from our Krumovgrad high-grade open pit project, leading to strong free cash flow for the business, we expect a significant re-rating in our share price to occur. Our prospects for the future look good as we build on the solid foundation of high-performing, low-cost assets, fully funded near-term low-cost gold [indiscernible] growth, and a growing pipeline of organic growth projects with a focus on innovation and operational excellence.   Thank you. I'll now turn the call over to Hume, who will review the financial results and 2017 guidance, following which we will open the floor to questions. 
Hume D. Kyle: Thanks, Rick. Overall, we reported a solid third quarter result with adjusted net earnings of $0.04 per share compared to an adjusted loss of $0.12 in 2016, and adjusted EBITDA of $26 million compared to $4 million in 2016. These increases were driven by the improved results at both Chelopech and Tsumeb.   At Chelopech, the improvement was due primarily to higher gold recoveries and grades, overtreatment charges, and higher realized copper prices; partially offset by lower realized gold prices. At Tsumeb, the improvement was driven by higher smelter throughput, reflecting the improved operating performance and availability of the Ausmelt furnace, which in 2016 was impacted by an unplanned second outage. This was partially offset by higher rates for labor, electricity, and contractors, lower toll rate, and higher deduction for slag mill concentrate returns and estimated metals exposure.  For the 9 months, we reported adjusted net earnings of $.07 per share compared to a loss of $0.19 in 2016, and a higher adjusted EBITDA of $70 million compared to $43 million in 2016. These increases were due primarily to higher metal sales resulting from these higher recoveries in grades we experienced at Chelopech and higher realized copper prices partially offset by lower copper grade and a resulting higher cost per tonne of copper concentrate at Chelopech.  At Tsumeb, the increase was driven by higher smelter throughput due to the improved operating performance of the furnace, higher toll rates and reduced metals exposure, partially offset by higher rates for labor, electricity, and contractors, and higher deductions from the slag mill concentrate returns.  Our adjusted earnings were also impacted by lower depreciation and finance costs. From a cash flow perspective, the funds from operations in the quarter in first 9 months for 2017 were $27 million and $70 million, compared to $51 million and $97 million respectively.   Q3 and year-to-date free cash flow, which we define as funds from operations, less cash outlays for sustaining capital and mandatory debt service obligations, was $18 million and $32 million compared with $41 million and $64 million respectively in 2016, which benefited from the receipt of a $50 million prepaid forward gold sale that was completed in Q3 2016.  Turning to costs, cash cost per tonne of ore processed during the quarter and year-to-date was $35 and $33 respectively, compared to $32 and $33 in 2016. The increase for the quarter was primarily due to weaker US dollar, timing of maintenance activities, and higher royalties as a result of increased production and higher copper prices.  Our all-in sustaining cost per ounce for the quarter was $685, down $398 from 2016, due primarily to higher volumes of the payable gold sold, lower treatment charges, and higher copper byproduct credits due to higher realized prices.   Year-to-date, our all-in sustaining cost was $700, down $95 from 2016, due primarily to higher volumes of payable gold sold, partially offset by lower byproduct credits due primarily to lower volumes of payable copper sold.  At Tsumeb, the cash cost per tonne in the quarter in the first 9 months was $484 and $476, compared to $642 and $471 in 2016. The decrease in the quarter was primarily due to higher throughput, partially offset by higher operating costs. Year-to-date, the cash cost per tonne was comparable to 2016, with higher operating costs being largely offset by the higher volumes of concentrate smelted.   Total sustaining and growth capital expenditures for the quarter were $7 million and $18 million, for an aggregate spend of $25 million, up from $12 million in 2016. Year-to-date, sustaining and growth capital spending was $16 million and $51 million respectively, for an aggregate of $67 million, up from $37 million in 2016. These increases related primarily to the Krumovgrad Gold Project, where up to September 30, approximately $54 million, including our Q4 2016 spend, had been incurred, and we were approximately 37% complete based on [indiscernible] quantities.  As Rick already noted, we increased our guidance for the second time this quarter. As a result, gold production and [ sales ] production are now up approximately 13% to 15% from our original guidance, all-in sustaining cost per ounce is now up roughly 17% from our original guidance, and CapEx was reduced to reflect the reduced projected cost of the Krumovgrad Project, plus a change in schedule, but no impact on commercial operations for Q4 2018.  During the quarter, we also did some additional hedging, principally around our 2018 copper byproduct production following the recent run-up in copper prices, and we have increased our hedge position from approximately 56% at a fixed price of $262. This was done at the time that we put our financing plan together to support the Krumovgrad Project, and now it's down to 93% and we implemented that increase using a zero-cost collar structure that provides for a minimum price of $2.80 and a weighted average maximum price of $3.32.  In closing, we exited the quarter with $297 million of cash, including the $275 million long-term credit facility, and we were well-positioned to fund the $20 million acquisition of MineRP, which closed on October 25, as well as to support the remaining construction of Krumovgrad, as well as our other growth initiatives.  With that, I'll turn it back to the operator. 
Operator: [Operator Instructions] And our first question is from Jeff Killeen from CIBC. 
Jeff Killeen: First, starting with Chelopech, if I could, it certainly looks like you had some good costs through the operation there this quarter. I'm wondering if you can quantify a bit more for us, Rick, in terms of where those lower costs are coming from, understanding you've got some technical improvements, you had some better grades. How much of that improved cost would we expect to go forward into the current quarter and into next year? And maybe give us an outlook in terms of the range, what the cost might look like for 2018. 
Rick Howes: Yeah. I think the key driver in terms of cost per ounce of gold has been the improved gold output performance that we've seen this year, but the cost per tonne may be a better indicator of sort of the long-term underlying trends of cost. So we've been running around $32, $33, and then I think we were $35 this quarter, about $35 a tonne. That was mainly influenced by the exchange rate, euro exchange rate.  So it's really going to be somewhat sensitive to that euro exchange rate to see whether or not costs continue on the decline as they have been over the last 4 or 5 years now. But the focus has been on optimization and improvements in the operations. We see more upside yet in that area. Some of that was mainly around the improvements in the mill we made recently around recoveries, but also we're starting to get some improvements in the mine around the optimization of the drilling, blasting and the haulage.  So I would say it's hard to say exactly what the forecasted number would be for next year, yet, as again, it depends somewhat on the exchange rates. But I would say we'll stay at least flat, and then if we make traction on some of these improvements, the cost could drop towards the lower end of $30 a tonne for the next year. 
Jeff Killeen: Okay, thanks, that's helpful. Then just to your point on those better grades out of Chelopech, can you give us color? Are you finding any positive reconciliation? Is this just due to good work in reducing dilution? Any color there? 
Rick Howes: Yeah, as I said, it's 3 factors that gave the better gold output. It's not just the grades. It was grades, recoveries -- improved recoveries -- and increased pyrite recoveries as well. So those 3 things. But probably a third of it was the improved grades.  The reconciliations, on gold, we've been actually outperforming somewhat in the last couple of years now, gold grades relative to the reserve model, by about 4% to 5%. And that's probably mostly due to where we're mining, so it's probably not a long-term trend. I don't know because it could be just that we're mining the heart of one of these zones called the 103 ore-body right now, with some top cutting of the grades in that area, and when we got in to mine it the grades essentially came out. As before the top cutting took place, it more reflected the grades that we were mining in that zone. So that had an influence on this year's grade results, so giving us maybe 5%, 6% better grades overall. Those 2 blocks, actually, 103 Block and 19 Block, they both had the better grades than the reserve block model.  The other zones that we're mining pretty much coming in exactly online with the block model, reconciling very well, so the net effect is, as we get out of the heart of this 103 I think we'll probably see more closer to the block model grades again, and I don't think we'll see quite as high a variation as we did this year to those grades. 
Jeff Killeen: Okay, very well. You also mentioned in your remarks about a new expiration target you've been looking at at Chelopech. You had listed a few different components that are within that, including an enargite mineralization. Is that similar to what you see in the current ore you're mining? Do you have any insight into what the metallurgy might look like or arsenic content? Is it comparable to what you're mining today? 
Rick Howes: Yeah, I was referring to that as Block 18 East. It's an area just adjacent to an old mining block we called Block 18 that was mined back long before we bought the mine. So it just looks like an area that we'll be able to add to our resource reserve base over time. We only have a limited number of holes into it, but I would argue it's probably almost identical to what we're currently mining in terms of a mix of those minerals, and the gold equivalent grades are running between 6 grams and 8 grams, I'll say, per tonne so far.  It's early on that particular block, but the other block that we've been drilling quite extensively over the last probably almost a year and a half now is Block 153, which has a tendency to be higher gold and lower copper grades, and we're still drilling that new zone, and we hope to get an indicated resource estimate for that by the first quarter of next year. 
Jeff Killeen: Okay, great then switching to Tsumeb, looks like it was a smooth quarter there. Just wondering if you can give us insight into any planned work outside of sort of the normal course that you're thinking about for 2018 in timing. Any shutdowns or material works in the first half versus the second half of next year? 
Rick Howes: Yeah, we're anticipating our annual maintenance shutdown, which really involves the Ausmelt furnace reline and other projects, in the first quarter, we think. It could be February, it could be March. It really depends on the life of that lining that we're monitoring very closely right now. As I mentioned, we've had significant improvement in the lining life, that we used to get somewhere between 6 and 9 months on that lining, now we're getting, looks like we'll get over a year, maybe even 15 months out of that lining. So that's helping us quite a bit in terms of obviously online time or running time for that smelter, and getting higher throughput. So next year, it's anticipated we'll be doing that project in the first quarter.  Beyond that, I don't think there's really anything of a significant nature that we're doing in terms of investing in major capital upgrades to the facility. It's normal ongoing sustaining capital and further, really, optimization of the plant operations, and stabilizing it and getting it to its nameplate capacity. 
Jeff Killeen: Okay, thanks. Then maybe the last question for Hume. Just on the hedging strategy, seeing you increase the proportion of hedging, certainly seeing a better price point for the coming period, but still quite a bit below spot. So just wondering what the strategy would be. Can you describe how it is currently and how it's going to go after the Krumovgrad build is complete? Are you hedging a material proportion just to make sure you get through that build period, and how do you think of it going forward? 
Hume D. Kyle: Yeah, the copper hedging that we did last year, which essentially was half of our 2018 production, that was all just sort of part and parcel of reducing the risk around the Krumovgrad Project. So it wasn't so much that we liked the price or viewed it as opportunistic, it was simply a risk reduction part of our strategy. The hedging that we did currently was I'd say more opportunistic. It wasn't really so much to do with risk reduction, albeit it does do that. It was more that we felt that the move in copper had sort of moved fairly quickly [indiscernible], that at least in the short-term it might have got a little bit ahead of itself so we just saw an opportunity to put on some additional hedging for 2018 to lock in a floor of $280 and still offer some participation up to, I think it was around $332 on a weighted average basis. So that was really the thinking.  We didn't go beyond 2018 at this stage because, again, probably in the medium term, we like the prospects for copper and there's no need for us at this stage to look at any kind of risk reduction mechanism. If we did anything further at this stage it would -- because the price of copper has reached a point where we think it's ahead of our own views and we might layer on some hedging to reflect that. 
Operator: [Operator Instructions] At this time, I am showing no further questions. I would like to now turn the call back over to Rick Howe for closing remarks. 
Rick Howes: So thank you very much for joining us today, and I wish everyone a good week. Thank you. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect.